Operator: Welcome, and thank you for standing by. Good morning, and welcome to the Global Business Travel Group, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. As a reminder, please note today's call is being recorded. I will turn the call over to the Vice President of Investor Relations, Jennifer Thorington. Please go ahead.
Jennifer Thorington: Hello, and good morning, everyone. Thank you for joining us for our fourth quarter and full year 2025 earnings conference call. This morning, we issued an earnings press release, which is available on sec.gov and our website at investors.amexglobalbusinesstravel.com. A slide presentation, which accompanies today's prepared remarks, was also available on the Global Business Travel Group, Inc. Investor Relations webpage. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including industry and macroeconomic trends, cost savings, and acquisition synergies, among others. All forward-looking statements involve risks and uncertainties that may cause results to differ materially from the statements made on today's conference call. More information on these and other risks and uncertainties is contained in our earnings release issued this morning and our other SEC filings. Throughout today's call, we will also be presenting certain non-GAAP financial measures such as adjusted gross profit, adjusted gross profit margin, EBITDA, adjusted EBITDA, adjusted EBITDA margin, adjusted operating expenses, free cash flow, and net debt. All references during today's call to such non-GAAP financial measures have been adjusted to exclude certain items. Definitions of these terms and the most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the supplemental materials of this presentation and in the earnings release. Participating with me today are Paul Abbott, our Chief Executive Officer, Evan Kaumizer, our Chief Product and Strategy Officer, and Karen Williams, our Chief Financial Officer. Also joining for the Q&A session today is Eric Bock, our Chief Legal Officer and Global Head of M&A. With that, I will now turn the call over to Paul. Paul?
Paul Abbott: Thank you, Jennifer. Welcome, everyone, and thank you for joining us this morning. In 2025, we delivered strong results and expect even stronger momentum in 2026. We are executing on our growth strategy. We continue to gain share and maintain an impressive customer retention rate. Product innovation is accelerating. Our strategic partnership with SAP Concur is well underway as we roll out Complete, a new flagship solution for travel and expense. We are launching next-gen Egencia in April, with a new AI-powered user experience and full integration into Concur Expense. And we closed on the acquisition of CWT in September 2025. We are now at a very exciting inflection point where AI is delivering real revenue and cost benefits, and we are leveraging our platform to power the future of agentic AI in business travel. More on that shortly. Finally, we doubled our share repurchase authorization to $600 million, supported by our strong balance sheet and robust cash flow. Given the current share price and our conviction in our long-term growth trajectory, we believe this represents a compelling driver of shareholder value. Before I talk in more detail about the value that we are delivering with AI, let me quickly review our strong 2025 performance. Here are the highlights. Total transaction value, or TTV, grew 17%. Revenue growth accelerated to 12%. Adjusted gross profit margin was 60%. Adjusted EBITDA grew 11%, and we generated $104 million of free cash flow. Finally here, excluding CWT, new wins value accelerated to $3.3 billion, and we maintained a very strong customer retention rate of 96%. So Global Business Travel Group, Inc. continues to grow and continues to gain share. Our new wins performance, increased demand from our premium customer base, high customer retention rate, and the acquisition of CWT resulted in impressive top line performance. And our focus on operational efficiency and cost synergies enabled us to drive strong adjusted gross profit and adjusted EBITDA margin performance. I now want to address market sentiment related to AI. Let me start by being clear on this. We have proven that automation is a tailwind for our business, a tailwind that is being accelerated by AI. We have already proven that digital adoption drives higher margins and drives higher profits. Over the last five years, we have increased our mix of digital transactions from approximately 60% to over 80%, with over 60% of those digital transactions on our own technology platforms. Over the same period, our adjusted EBITDA margin has gone from 17% to 20% driven directly by increased automation. And AI is accelerating this positive trend. Our broader AI strategy is focused on three key priorities. Revolutionizing the customer experience, powering the agentic transformation of B2B travel, and reducing operating expenses. Why are we so confident that AI will supercharge value creation for our customers and our shareholders? Because we are already seeing it happen today, and here are some examples. AI is increasing self-service, and even for issues that still require a live agent, our agents are using AI tools to reduce handling times, giving a better experience for the customer and reducing operating costs. AI is also delivering higher revenue conversion in our products through enhanced personalization. Our tech teams are using AI to design and build products, improving both speed and quality. Agentic AI is a decision-making and execution layer with the potential to reshape channels and workflows. The opportunity that we have in managed travel is to integrate agentic AI with all of our other services, including the supply inventory, company data, traveler data, duty of care processes, disruption management, and the end-to-end workflow to deliver the control and the experience that our customers demand. And we can deliver this consistently and securely on a global basis. Our platform is being used today to power agentic AI experiences, both proprietary and through integration with third parties. In all these cases, Global Business Travel Group, Inc. is providing the essential assets required to power the agentic AI experience at scale. And now I would like to introduce Evan Kaumizer, our Chief Product and Strategy Officer, to share some specific examples of how we are executing on our AI strategy. Evan, over to you.
Evan Kaumizer: Thank you, Paul. As Paul said, we have deep conviction that AI is a clear tailwind in transforming our business by enhancing both the customer value proposition and our profitability. Our central role in building and operating a platform that integrates enterprise workflows into the very real and dynamic world of travel represents a clear competitive advantage for us to lead in the AI transformation in corporate travel. To maximize this opportunity, we are investing for AI-powered growth and value creation across three key priorities. The first is revolutionizing the customer experience. Incorporating AI and agent capabilities into the way we service and support our customers and their travelers by delivering personalization, contextualization, and user delight. The second is taking our platforms to power the agentic transformation of B2B travel. Global Business Travel Group, Inc.'s platforms have been designed to execute travel at scale globally, and such a platform is an essential foundation to enable the agentic AI tools that companies are launching for many use cases today. Finally, AI is a generational opportunity to redefine our operating model and cost base, allowing us to expand margins and create more capacity to invest in one and two. I want to highlight one example of how we are looking at revolutionizing customer experience with AI. We know travelers want to conduct business from the channels that they are already using daily, and we know that both companies and their travelers want integration into existing business workflows with immediate personalized responses and proactive actions to solve their needs. Next month, we expect to launch Egencia AI, a tool that allows travelers to search, book, and change travel by responding to natural language interactions, all while adhering to company policy, personal preferences, and context, and, of course, sourcing from the comprehensive and competitive inventory in the Global Business Travel Group, Inc. marketplace. This foundation is anticipated to grow to more proactive actions over time, including fully agented capabilities. Already on Egencia, we have an average booking time of under three minutes, which is expected to go down even more with these new tools. As AI agents complete more of the workload, we are able to source the majority of hotels within the top five options based on many years of training our models, making these experiences better. We are having success increasing self-service, and the new Egencia AI experience is projected to further accelerate that progress. And in short order, this will be available in a multitude of channels: the web, Egencia mobile, as well as the major enterprise collaboration tools that most of our customers are using today. And we have similar solutions arriving on Complete, our joint solution with SAP Concur, as well as Neo. With our service promise, there is always a live agent for travelers to access if the AI does not deliver what they need or if they simply prefer some human interaction. This is only one example of how AI is helping us dramatically advance the customer and traveler experience, enhancing our ability to retain and win customers, and importantly, reduce bookings made outside the program by giving travelers tools that make it much easier and faster to book travel from Global Business Travel Group, Inc. We believe our platform is central to transforming B2B travel with AI. We are expecting AI agents to do a lot of the heavy lift in business travel, but those AI agents will need access to the data, global inventory, workflows, and orchestration that has authority to fulfill travel bookings, manage approvals and payments, issue invoices, file expenses, and reconcile data. Unlike consumer travel, business travel requires data and trusted transaction authority from both travelers and companies, including data ranging from personal loyalty preferences and history all the way to company policy and approval rights. Global Business Travel Group, Inc. can already do this at scale globally, and we are architecting an agent-to-agent framework to deliver these capabilities. AI agents will also need access to the best marketplace in travel that sources content from all over the globe, negotiates bespoke content for savings, wires in company-negotiated content, and aggregates it all seamlessly. Using our centralized inventory is significantly more advantageous and cost-effective than agents doing independent scraping themselves. Finally, AI agents are only as good as the data they are trained on, and in our industry, our proprietary data is the gold standard. It includes, in part, millions of enterprise policy rules, hundreds of ecosystem partners, hundreds of supplier connections, and millions of transactions, emails, and hours of call recordings. Today, we are working in several ways to already bring this to life. Let me provide three examples. First, we are currently collaborating with a major technology company customer and integrating into their proprietary agentic platform to ensure managed travel experiences can be available seamlessly through existing and new enterprise channels. Even major technology customers are acknowledging the value Global Business Travel Group, Inc. provides by bringing capabilities like expert-driven cost savings, 24/7 duty of care, and policy compliance, fully baked into their new AI workflows. Second, as previously announced, we are collaborating with SAP Concur to bring our platform to full use across our joint customer base. In the flagship solution Complete, by SAP Concur and Global Business Travel Group, Inc., we are combining SAP's AI solution, Juul, with our travel capabilities to streamline travel and expense management through natural language conversations. So this is an example of a leading enterprise application software player collaborating with Global Business Travel Group, Inc. and AI for travel. Finally, we are working to partner with AI-native players to bring new experiences to our customers. One example, we integrated an AI product for a large customer to create a new agentic channel. In summary, we have both proprietary and partner agentic experiences powered by the Global Business Travel Group, Inc. platform. These partners include a major technology company, one of the largest European software companies, and an AI-native venture-funded new entrant. And in all of these cases, Global Business Travel Group, Inc. is providing extreme value with orchestration, workflows, and the marketplace, as well as acting as the trusted transaction authority on behalf of the company and its travelers. This is how we expect B2B travel to work in an increasingly agentic world, and we are fully prepared. Finally, I want to highlight the significant cost reduction opportunity that AI presents. We have two primary levers for reducing operating cost. The first is reducing the need for human intervention. The progress we have made on digital self-service to date, coupled with the current path on AI solutions, gives us a clear roadmap to serve more travelers in digital channels, creating a better experience and reducing costs. We have already seen this in how our Egencia product is able to handle more self-service needs, and we are building these features into Complete and Neo now. The second lever is ensuring our amazing travel counselors are as productive as possible in delivering exceptional service. To that end, we are building an AI agent assistance tool that will supercharge the ability of our travel counselors to serve travelers in a personalized, contextual, efficient way. This is a win for both our travelers and Global Business Travel Group, Inc. We believe the successful formula for managed travel is both high-tech and high-touch, and while AI agents are increasingly capable, marrying that with experienced travel counselors remains core to our servicing strategy. Human agents will interact with fewer transactions over time, but when they do, it will be critical to revenue retention and growth. Even the savviest digital traveler cannot predict when any given trip may require some human help, and we are seeing this play out in real time as our travel counselors work tirelessly to repatriate travelers from the Middle East. AI-driven efficiency gains are not just an idea. They are having real-time meaningful effects on our P&L, and AI is a primary driver for long-term operating leverage and margin expansion. We expect adjusted gross profit margin to increase by 150 to 200 basis points per annum over the next five years, reaching the high sixties by 2030, which represents material margin expansion versus where we are today. In summary, our strategy is very clear. We are developing AI to revolutionize the customer experience, our platform to power the agentic future in B2B travel, and using AI to accelerate cost reduction and margin expansion. Now I would like to pass it on to Karen for the financial overview.
Karen Williams: Thank you, Evan, and hello, everyone. Before we get into the specifics for the quarter, I want to reflect on the incredible progress we made in 2025. We delivered strong financial results, closed on the acquisition of CWT, and are continuing to make outstanding progress in terms of the integration of CWT into our business. The strength of our balance sheet provides us with opportunities to deploy capital in a disciplined, value-accretive manner. We generated over $100 million in free cash flow, refinanced our debt, and doubled our share repurchase authorization. We continue to deliver on our commitment and are confident in our outlook and the continued momentum in the business. So now let us turn back to the fourth quarter and the financial highlights, which show strong underlying growth and the addition of CWT into our results. The corporate travel demand environment continued to accelerate in the fourth quarter, despite a short-term negative impact from the U.S. government shutdown. TTV, which reflects both volume and price, grew 45% to reach $10 billion. Transaction growth was 37%, driven by the contribution from CWT and growth in our core business as we continue to drive share gains and impressive customer retention. Revenue was up 34% to reach $792 million, and within this, travel revenue increased 36% in line with the transaction growth. Product and professional services revenue increased 27%, primarily driven by the acquisition of CWT and strong growth from our dedicated client revenues as well as Meetings & Events. Excluding CWT, revenue grew 8% in the quarter. And finally, adjusted EBITDA grew 17% to reach $130 million, driven by the top line performance and continued focus on driving productivity, operating leverage, and cost optimization. Let us now turn to margins. Last quarter, we introduced adjusted gross profit margin as a key metric which we believe helps measure the success of our automation and AI initiative. Adjusted gross profit margin was 60% for the full year. Now, excluding CWT, full year adjusted EBITDA margin of 21% was up 144 basis points year over year and benefited from our continued focus on cost transformation. Our reported full year adjusted EBITDA margin of 20% and fourth quarter margins were down modestly. Whilst the core business continued to deliver on productivity initiatives, the year-over-year reduction in margins is simply driven by the consolidation of CWT into our numbers, which, pre-synergies, operates at lower margins. Importantly, we project material expansion in both the adjusted gross profit margin and adjusted EBITDA margin over the medium term as we deliver on the CWT synergies and AI-powered cost transformation. Free cash flow for the full year totaled $104 million, which, when normalized for the CWT and M&A expenses, results in 40% free cash flow conversion as a percentage of adjusted EBITDA. Free cash flow in the fourth quarter declined year over year, again due to seasonality of working capital outflow and cash restructuring costs related to the CWT synergies. And finally, I am incredibly proud of the strength of our balance sheet. Our leverage ratio, or net debt divided by last twelve-month adjusted EBITDA, is 1.9x and remains below the midpoint of our target leverage ratio range even after funding the cash portion of the CWT acquisition. As a reminder, with the CWT acquisition, we have a clear path to a bottom-line synergy opportunity of $155 million, entirely driven by what we can control, which is cost. I am pleased to share we are tracking in line with the expectations we have previously shared. We expect to deliver $55 million of in-year synergies in 2026. To date, we have actioned $45 million of these and have confidence in realizing the full-year number. The actions taken to date primarily include workforce reduction, real estate consolidation, and vendor savings. So now, moving to our outlook, we are reiterating our guidance for the full year 2026. We are guiding to full year 2026 revenue of $3.235 billion to $3.295 billion, which reflects 19% to 21% year-over-year growth, and adjusted EBITDA of $615 million to $645 million, which reflects 16% to 21% growth. And as a reminder, there will be a temporary impact on our margins related to CWT. On a pro forma basis, including the full projected CWT synergies of $155 million, we would expect adjusted EBITDA of $715 million to $745 million. Looking at free cash flow, we expect to generate $125 million to $155 million. Excluding the cash impact of restructuring and CWT integration, we would expect to generate $235 million to $265 million of underlying free cash flow, which represents a conversion rate similar to 2025 of approximately 40% of adjusted EBITDA at the midpoint. We expect an acceleration in our free cash flow conversion beyond this year as we drive growth, roll over the one-time items, and realize the CWT synergies. Now it is important to draw your attention to the expected shape of our performance in 2026 and cadence of our revenue and adjusted EBITDA outlook. Year-over-year growth rates will start out higher due to CWT until the acquisition anniversary during Q3 at September. The seasonality of the combined business looks different in 2026 versus prior years due to CWT. We expect to generate approximately 51% of full year 2026 revenue in the first half of the year, with approximately 25% in Q1. We also expect to generate approximately 53% of full year 2026 adjusted EBITDA in the first half of the year, with approximately 24% in Q1, and this is driven by the phasing of the synergies benefits that ramp post-Q1. From a free cash flow perspective, we expect Q1 free cash flow to be largely breakeven but to accelerate in Q2 due to the phasing of the cost and net working capital. We have provided more detail in the appendix on free cash flow and quarterly seasonality to help you guide your models. Now it is important to note that our guidance does not include a prolonged impact from the Middle East conflict, as it is too early to establish any facts, but for context, the region represents around 5% of revenue. Crisis management is a critical component to our value proposition, and I am incredibly proud of how our team is handling frontline servicing. Now I wanted to end by reiterating our capital allocation priorities and what we are doing to drive shareholder value. We are continuing to generate cash, which enables us to execute against our capital allocation priorities. Our first capital allocation priority is maintaining a strong balance sheet, with a target leverage ratio of 1.5x to 2.5x. In January, we successfully refinanced our debt and achieved a 50 basis points reduction in our borrowing rate. Second, because of the productivity gains, we can invest in sustainable growth within our medium-term target CapEx envelope of approximately 4% of revenue. We are focused on discipline in our AI spend to drive profitable growth, and I would encourage you to think about this beyond the CapEx envelope as we think about the AI opportunity being a mix of build, partner, and buy. This leads nicely to our third priority, which is to pursue accretive, highly synergistic M&A. Because the CWT acquisition financing was primarily stock, we maintain a strong balance sheet to pursue additional M&A. And finally, given our leverage and cash position, we are in a position of strength to execute accretive share buybacks. Doubling our share buyback authorization from $300 million to $600 million in February reflects our confidence in the underlying strength of the business and our commitment to driving long-term shareholder value. In total, we have returned $103 million to shareholders under the share buyback program to date, with $73 million in 2025 and an additional $30 million year to date through 03/05/2026. In summary, we delivered strong results to close out 2025 and expect even further momentum into 2026 and beyond. We look forward to sharing more at an Investor Day later this year. We will now open for questions. Operator, please go ahead and open the line.
Operator: Thank you. If you would like to ask a question, please press star followed by one. When preparing to ask your question, please ensure your device is unmuted locally. Our first question comes from Stephen Ju with UBS. Your line is open. Please go ahead.
Stephen Ju: Hey, thank you. So, Evan, I wanted to dig in a little bit more on underlying data you have disclosed on page nine of the deck, particularly as it comes to how good AI has gotten and how quickly things may be improving for Egencia. So 57% of chats are resolved without humans being involved. So can we get some idea of the slope of the improvement that you were driving here throughout 2025? And stepping back and looking at things from a bigger picture perspective, and I apologize, Paul, for asking you a question about running before walking, but how can we think about the benefits of what you are already seeing from a service perspective that is already being demonstrated for Egencia being rolled out to CWT also? Thank you.
Evan Kaumizer: Great. Thanks so much for the question, Stephen. Happy to take that. This is Evan. So the 57% on deflection away from chat is largely based on non-transactional inquiries that we have had over the last year or two as we have deployed more tech into that channel. This year, with the full agentic launch of full transactions on hotel and air, and later rail and ground, we are really bullish that that number is going to go up pretty significantly. We also know the denominator will go up a lot as well as we get more customers and more travelers coming into this channel on all the different channels that we are going to expose this to. So I think that both numerator and denominator are going to change, but in ways that will start really showing up in metrics across the business versus more of a help desk style approach that we have had thus far. So I think we are at a pivot point, and we will be excited to share progress as that launch happens and we continue to evolve that channel.
Paul Abbott: Stephen, maybe just to add a couple of comments to the second part of your question. You are absolutely right. Egencia is the most advanced platform in terms of the AI capabilities and the self-serve capabilities, and so that sets the pace, and our objective is to get Complete and Neo up to the same levels of performance, and we have plans in place to do exactly that, including, of course, the CWT customers as they move across onto those solutions. I think in terms of the metrics to keep an eye on, you asked about how you can expect this to trend going forward. If you look at our gross margin, it is up 100 basis points over the last twelve months, and, obviously, a lot of our AI and automation initiatives are driving that improvement in gross margin. Also, if you look at the percentage of self-serve, we have taken that up 300 basis points over the last twelve months. So we were at about 80% of our transactions coming through digital channels; that has gone up to 83%. And so these are some of the key metrics that we track to make sure that we are not just making progress, but also that progress is flowing through to deliverable impact in the P&L.
Operator: We now turn to Duane Pfennigwerth with Evercore ISI. Your line is open. Please go ahead.
Jake Cunningham: Hey, good morning. This is Jake in for Duane. Just first, are there any regional and or industry highlights you could share for the fourth quarter and early 2026? And any improvement in the government business as well?
Paul Abbott: Yes. Obviously, for Q4, we did see an impact on not just the government business, but more broadly in the U.S. from the U.S. government shutdown, but we were able to mitigate that impact and still deliver on our expectations for Q4 and full year. And so, yes, we have seen an improvement now that the government shutdown mostly resolved, so those volumes have improved into the first quarter. Obviously, the big regional trend, stating the obvious, is the situation in the Middle East. If you look at our demand through January and February, it was actually pretty solid across all regions, and for both months, very much tracking in line with our plan. Obviously, over the last week, we have seen an impact to volumes in the Middle East, as, of course, you would expect. Initially for us, that impact creates more demand because we have a lot of customers that are disrupted, a lot of changes and cancellations. So in the short term, it actually results in an increase in transaction volumes. But, obviously, depending on how long the situation lasts, we are going to see some impact to forward bookings in the region, and that is why Karen, in her prepared remarks, sized the Middle East at approximately 5% of our revenues. Obviously, at this point, it is far too early to be able to assess how long the situation may continue, but we are trying to be helpful in sizing the travel where the Middle East is the point of origin or the final destination, which represents 5% of our revenues.
Jake Cunningham: Okay. That is very helpful. And then just on the SAP Complete partnership, are there any early stats or anecdotes you could speak to to indicate any early successes?
Evan Kaumizer: Yes. We are having great progress on rolling out our joint customers onto Complete. We have a rollout plan that started in the fourth quarter and continues at pace, and we are expecting to have 90% to 95% plus of all of our joint customers using Complete this year. Early feedback has been positive, and you are going to hear some new updates on our product launches at the SAP Concur Fusion conference next week in New Orleans. We are going to be talking about the next step of our product joint release. So overall, the momentum is in full swing, and we are really excited to see that progress this year.
Jake Cunningham: Great. Thank you.
Operator: We now turn to Greg Parrish with Morgan Stanley. Your line is open. Please go ahead.
Greg Parrish: Hi, good morning, everyone. Thanks for taking our question. I want to ask about the 150 to 200 basis points annually of gross profit margin expansion through 2030. It is quite robust. I know, Paul, you mentioned having done that over the last twelve months. I just want to unpack the drivers. It sounds like, at least from the slide, this is primarily AI efficiency savings, if you could confirm that. And then should we expect this to start in 2027? I know 2026 is a little noisy here with the acquisition. And then, from a philosophical standpoint, do you expect clients will perhaps want to share in some of these AI savings, or do you think you are in a really good position to have the benefits accrue to you? Thanks.
Karen Williams: Okay. So in terms of gross margin, we are incredibly excited about the runway ahead of us. Evan spoke to some of it, but ultimately, as you look at the cost of revenues and from a servicing perspective, we expect an opportunity from the demand deflection that he spoke about, but also from an agent productivity perspective. And so we feel great in terms of the momentum and that pathway as we look out over the short and medium term to delivering against that. In terms of 2026 in particular, you do see the combination of the two organizations together. In terms of the underlying, we are continuing to see that progress and feel really good about it.
Paul Abbott: Maybe I will pick up on the last part of the question. I think one of the really positive things about our business model is that we already have a structure that incentivizes self-serve. We already have pricing structures with customers that are lower for a 100% digital transaction, a 100% touchless transaction. And if you look back over the last four or five years, we have taken our digital penetration from 60% to 83%, and that is one of the main tailwinds that has been driving our profit growth and our gross margin and our adjusted EBITDA margin expansion. And so we are very confident that the pricing structure that we have in place, because we have proven it over the last few years, does pass back savings to customers for self-serve transactions, but our operating costs are even lower. So that automation tailwind improves our profits and improves our margins, and, frankly, AI is just going to supercharge that trend. So we see it as being very, very positive for us.
Greg Parrish: Okay. Great. Thanks for the color there. Maybe just a follow-up. Could we unpack the 8% growth excluding CWT in the quarter? Pretty strong number. I think FX was a little bit of a tailwind. Can you break that down? Anything else to call out—air travel, G&M—what was strong versus light in the quarter?
Karen Williams: We saw strong growth both in the SME and in the global multinational from a sales perspective, so we saw that continuation in the fourth quarter. Yes, there is probably a point from FX, but also, you will recall during the Q3 earnings call, we encouraged everyone to look at Q3 and Q4 together. We do typically see in the fourth quarter, just from a supplier perspective, some of the timing, so we see the yields were much more akin to what we saw in Q2 at a higher level. That is also playing into it. But we are really confident in terms of the momentum that we saw in the underlying business, not only from the top line, but also then the continuation in terms of that margin story and 210 basis points expansion.
Greg Parrish: Okay. Thanks. I just wanted to confirm. You said FX was only 100 basis points?
Karen Williams: At one point, yes.
Greg Parrish: Okay. I will follow up with you there. Okay. Thanks.
Operator: We have no further questions. I will hand back to Paul Abbott, CEO, for any final remarks.
Paul Abbott: Great. Well, thank you very much to everyone for joining us, and thank you to all of our teams around the world that contributed to such a successful year in 2025. Thanks very much.
Operator: Ladies and gentlemen, today's call has now concluded. We would like to thank you for your participation. You may now disconnect your lines.